Operator: Good morning. And welcome to Wiley’s Second Quarter Fiscal 2018 Earnings Call. As a reminder, this conference is being recorded. And at this time, I would like to introduce Wiley’s Vice President of Investor Relations, Brian Campbell. Please go ahead, sir.
Brian Campbell: Good morning, everyone. And welcome to our second quarter fiscal 2018 earnings review. Some housekeeping items to start. The call is being recorded and may include forward-looking statements. You shouldn’t rely on these statements as actual results may differ materially and are subject to factors discussed in SEC filings. The Company does not undertake any obligations to update or revise forward-looking statements to reflect subsequent events or circumstances. Also note, while we provide financial measures referred to as adjusted which excludes unusual charges and credits as more fully described in our press release schedules, which you can find on our Web site. For those who prefer to listen to the call over the phone, but still want to view the slides, we recommend that you click on the Gears icon located on the lower portion of the left-hand side window and select Live Phone. This will eliminate any delays in viewing the slide transitions as well as remove any potential background noise if you prefer to ask a question. After the call, a copy of this presentation and a playback of the webcast will be available on our Investor Relations page. I’ll turn the call over to Matthew Kissner, Wiley’s Chairman.
Matthew Kissner: Good morning. First things first, on behalf of the Board of Directors and all of Wiley, I am delighted to introduce Brian Napack as the 14th CEO in the Company’s 210-year history, a history that involves many of the world’s greatest scientific discoveries, medical breakthroughs and continuous advancements in research and learning. And from a very thorough search, the Board unanimously agreed that Brian was the experienced and visionary leader we need to build on our foundational assets of content, brand and financial strength to be a razor sharp customer-centric organization focused on operational excellence, business model transformation and a high impact culture. Throughout his career, Brian has been a leader and innovator in the media, education and information industries. He comes to us from Providence Equity Partners, a global private equity firm with more than 50 billion under management where he served as a senior advisor focused on investments in education and media. Prior to Providence, Brian served as President of Macmillan, a global content publisher, where he helped drive significant profitable growth and to transform the company from a traditional publisher to an innovative provider of digital content tools and services to its rapidly changing institutional and consumer markets. Brian has served as an active director on the boards of numerous relevant companies such as Blackboard, Houghton Mifflin Harcourt, Ascend Learning, Burning Glass, Ingram Industries, Recorded Books, myON, Synergis Education, and Zero to Three, a science based early childhood advocacy organization. Finally, he has held senior leadership and entrepreneurial roles at LEK Consulting, ThinkBox, the Walt Disney Company, Simon & Schuster and A.T. Kearney. I'd like to pass the call over to Brian to say a few words.
Brian Napack: Thanks, Matt. I couldn't be more excited about joining Wiley at this critical moment in time. I have known the company for many years and have a great deal of respect and admiration for it. I can say with conviction that this is an extraordinary organization with great people, commitment to high quality publishing and services and exceptional financial strength. It also has a gold standard reputation and world class brand names, content, products and services that truly matter in these important markets. For me it is a truly fascinating time to get publisher to the research, education and human capital management communities. The very definition of the word publisher, along with the portfolio of products and services that we deliver, is changing as rapidly as the real needs of our customers are changing. All this disruption brings real challenges but in my view it brings much more opportunity. We've work to do but my belief is that if we deeply understand the needs of our customers, innovate relentlessly and deliver content platform, tools and services that help them achieve their goals, and if we do this using business models that deliver a compelling price value proposition, we will thrive. It's day three for me at Wiley, so I am mostly in listen-and-learn mode. I will look forward to reporting on our progress, sharing our strategies, our operational excellence initiatives and meeting with all of you in the future. I'll pass the call back to Matt, but before I do, I want to thank him on behalf of the team for the remarkable accomplishments at the Company over the past seven months. While not necessarily obvious to those outside the Company, very significant progress has been made in critical areas such as team building, employee engagement and numerous operational progress that will benefit Wiley for many years to come. Thanks to his excellenct stewardship and John's consistent leadership we're in a great position to move forward.
Matthew Kissner: Thank you, Brian. We're very fortunate to have you leading our team at this important time in our evolution. As Brian only started a few days ago, I will speak to business performance and John will follow with an update on our balance sheet, cash flow and outlook for the year before he hands it back to me for a brief summary and then Q&A. We had a good second quarter with revenue up 3% and adjusted EPS up 22% on a constant-currency basis. Results were driven by growth in research, better than expected performance in our book businesses, and profit improvement across our three segments as a result of our ongoing operational excellence initiatives. Free cash flow for the six months is tracking well. In addition to Brian joining us as our President and CEO, we have a new Executive Vice President of Publishing, Ella Balagula who comes to us Reed Elsevier, where she served in numerous Senior Executive capacities. Both Brian and Ella are exactly the kind of world class change leaders we need at this opportune time. Finally, happy birthday to us; Wiley turned 210 years old this year. We're immensely proud of our history, a legacy that includes publishing over 450 Nobel Laureates and being at the forefront of the industrial age, the technology age, and the shift to knowledge based economies. Moving to quarterly performance, foreign exchange continues to be a major tailwind for us in fiscal 2018, contributing 15 million of revenue, 8 million to operating income and $0.08 to EPS in the second quarter. This is a result of both year-over-year changes in exchange rates, notably the weaker dollar against the pound and euro and more importantly functional currency gains related to U.S. dollar-denominated calendar year 2017 general subscriptions in the UK. I will be excluding the impact of foreign exchange when commenting on all variances. Second quarter revenue growth of 3% was largely driven by growth in research journals, STM and professional publishing and education services or online program management, as well as the $6 million contribution from Atypon. Note that going forward we will see comparable year-over-year periods for Atypon. Operating income growth of 16% was mainly due to the increase in revenue and lower technology expenses, including lower spending on our ERP implementation. Note that adjusted contribution to profit or CTP increased for all three segments. Adjusted EPS growth of 22% was a result of higher operating income and lower interest expense. In terms of GAAP performance, there was significant unusual charges in tax items in the prior year, including an $0.08 restructuring charge, a $0.10 one-time pension settlement for terminated employees and unfavorable $0.83 German tax decision and $0.04 deferred income tax benefit. From the first half standpoint revenue adjusted, operating income and adjusted EPS rose 2%, 5% and 12% respectively. Revenue performance was driven by 2% growth in research journals and double-digit growth in education services or online program management and test preparation, which offset 2% decline in book publishing. The Atypon acquisition contributed 14 million to the year-over-year revenue increase. Operating income growth was due to revenue growth in savings from operational excellence and restructuring initiatives, particularly in shared services and segment contribution to profit improvement notably in solutions. Our adjusted operating margin improved by 170 basis points to 14.5% for the first half of 2018. Adjusted EPS growth of 12% was a result of stronger operating income performance, lower interest expense and a lower effective tax rate. For the six months, foreign exchange was a benefit to revenue, operating income and EPS by $17 million, $14 million and $0.15 respectively. Moving onto second quarter research results, revenue growth of 5% was due to 3% growth in research journals and $6 million from Atypon. Open Access continues to be a positive story growing 25% year-over-year, while the subscription business was even. Licensing reprints backfiles and other journal related revenue rose 11%. Atypon continues to track well to plan, landing new clients as well as generating additional revenue from existing clients. As a reminder, Wiley is transitioning its Wiley online platform to Atypon’s world-class Literatum platform early in calendar year 2018. Beyond the anticipated cost synergies and operating efficiencies, we are very excited by the opportunities that Literatum bring to our customers and partners, enabling us to win new society business, provide enhanced content and services to existing society partners and offer new technology enabled services and features. While it is too early to comment on the calendar year 2018 library renewal season, we continue to see favorable momentum in our society licensing business, which will benefit us in the coming calendar year. Net society licensing wins for calendar year 2018 were up $3 million this quarter after being up $6 million last quarter. 10 society contracts were renewed worth about $7 million and none were lost. Research adjusted CTP rose 4% due to revenue growth offset by investment in Atypon and higher royalties related to our society business. In the second quarter book publishing performed better than expected with STM, professional and education publishing growing 3% overall. Results were driven by 5% growth in digital and lower than expected declines in print. Course Workflow or WileyPLUS was down 18% due to timing of revenue recognition, which reflected longer sales amortization for subscription periods extending across two semesters. However, on an operational basis, excluding the revenue deferral impact, WileyPLUS sales rose 8% net of actual returns. Test Preparation and Certification continues to be a strong opportunity with revenue growing 5% for the quarter and 14% year-to-date. Importantly, adjusted CTP rose 14% due to savings from our operational excellence initiatives. As noted, we welcome Ella Balagula as our new Executive Vice President of Publishing. We are excited by the experience Ella brings, developing successful new business models, transforming product development, building out innovative partnerships and helping to generate profitable digital revenue growth. Solutions had a muted quarter with revenue up only 2%. Growth in education services or online program management offset a 4% decline in Corporate Learning or CrossKnowledge and a 2% decline in Professional Assessment. Corporate Learning will continue to be challenged by a slowdown in French Government funding for unemployment initiatives and blended learning programs, where Wiley benefits through partnerships with universities and business schools. We now expect single-digit growth in that business for the year. Professional Assessment was down due to continued channel shift as we leverage intermediaries to enable profitable growth for pre-hire assessments. The post hire part of that business continues to perform very well. Adjusted CTP growth remains a good story here, growing 14% for the quarter due to efficiency gains. I will now pass the call over to John who will take you through our balance sheet, cash flow and outlook.
John Kritzmacher: Thank you, Matt. Our balance sheet continues to be a foundational strength of the Company, enabling us to pursue synergistic acquisitions while consistently returning cash to shareholders. Our lower cash position at quarter end was due to repayment of debt using proceeds from the repatriation of cash in the fourth quarter of fiscal 2017. Net debt and net debt to EBITDA improved considerably over the prior year and our leverage remains quite low; cash from operations for the first half improved $40 million over the prior year due to an expected recovery in working capital performance, following the close of fiscal 2017; free cash flow, less product development spending, improved by $38 million; technology, property and equipment CapEx was higher by $4 million, driven primarily by investments in product technology, and business applications. We continue to return cash to shareholders in the form of share repurchases and dividends, spending $66 million through the first half of the year as compared to $57 million in the prior year period. We are reaffirming our full year outlook. As a reminder, at constant-currency, revenue and operating income are expected to be essentially even with the prior year and adjusted EPS is expected to be down by low single-digits due to higher taxes. While we're tracking favorably to our full year guidance, I would note that the second half will be challenged by an unfavorable tax comparison to prior year, which included discreet tax benefits of $0.12 per share recorded in the third quarter. In addition, second half technology spending will be higher than prior year due to the timing of planned investments, including our ERP deployment of order cash functionality for our Journals business. Foreign exchange is trending toward a positive story for the year, as current rates were to hold, we expect the foreign exchange benefit from rate shifts and functional currency gains of approximately $45 million in revenue, $25 million in adjusted operating income, and $0.37 in adjusted EPS. As background, the functional currency benefit is specific to U.S. dollar denominated journal subscriptions that are earned in the UK where the pound sterling is our functional currency. And finally, cash from operations and CapEx are tracking in line with our prior expectations. Back to you, Matt.
Matthew Kissner: Thanks, John. In summary, we are very pleased with our performance this quarter and through the first half of the year. Revenue, adjusted EPS, and cash flow were positive and are tracking well to guidance. We are of course energized by the addition of new leadership. While the first half numbers were very good, we are reaffirming guidance based on what we see for the second half. With that as background, we welcome your comments and questions.
Operator: [Operator Instructions] And we will take our first question from Dan Moore with CJS Securities.
Unidentified Analyst: It’s actually Chris for Dan. I know Brian just got there -- I thought I'd throw a question his way. Brian, maybe just talk a little bit further about what attracted you to Wiley and some of the unique skill-sets that you bring to the Company?
Brian Napack: I am happy to. It was a big decision for me to decide to invest. The next big chunk of my career in this company, it all comes down to two things; one is my passion for the spaces that we're in. I think these are very important spaces. They're changing incredibly rapidly. And that change brings an enormous amount of opportunity. And when I say these spaces, I am talking about the research space, the higher education space and the workforce development spaces. But more than that, this company is a unique company, it's a legendary company and it brings an enormous amount of assets to the game. I've known the Company for many years. I've had a long-standing relationship with the Company. I’ve been long impressed with it from afar. It has an incredible reputation, strong portfolio of brands, incredible IP and content, fantastic talent with throughout the Company, market relationships and distribution reach that are incredible across the globe, and financial strength, including a very strong balance sheet that gives us the ability to pursue a long-term strategy of growth and profitability. So for me, the combination of my passion for this space my belief and the opportunity that comes out of these spaces and the Company's legendary history and its unique portfolio skills and assets that we can apply to those was to me an opportunity not only to good to pace up but an opportunity that I consider the highlight of my career.
Unidentified Analyst: Maybe a few questions guys on the online program management. To you, looks like the most visible competitor been growing in the mid 30% range versus mid-teens for Wiley. Can you talk a little bit about -- is their approach different from your perspective, the comparison of the two?
John Kritzmacher: There are some differences in our approach to the market for sure. And to you by comparison to Wiley tends to focus on shorter list of partners with much larger scale programs, we’ve tended to go toward a more diversified base of partners. We have just under 40 partners now, and programs that are more tailored to the unique universities that we’re partnering with. In terms of the rates of growth, what we've been doing in the past couple of years is to balance growth with emphasis on driving the profitability. And so we’ve been looking at our portfolio of programs and partners and evolving that portfolio toward partners that have strong national brands, partners that can support a number of programs 10 or more programs and programs that will support hundreds of students, they all drive scale. And so what you see in our performance over a period of time; there’s a bit of an evolution in those partnerships toward partners that can grow with us and we can help them grow; partners that can attract larger numbers of students and drive toward profitability overtime. And if you look at our results, you will see that we are balancing that growth dimension with the focus on profitability as we work a bit on the portfolio programs and also our operational efficiency. If you look at our results in terms of profitability, that business will be for this year, essentially neutral at contribution to profit after the amortization of acquired intangibles and there's about $5 million of amortization associated with that business on an annual basis. So you will see we are starting to move it into a position of contributing to our earnings.
Unidentified Analyst: One last question just to looking at publishing business, I know you have already explored few potential investments partnerships. Beyond the current restructuring initiatives, how much incremental cost can you take out or what are the levers you have to pull to maintain margins, should the current rate of volume declines continue at this pace?
John Kritzmacher: I would say that we continue to have opportunities to improve the operational efficiency of the publishing part of our business. We are working, in particular, on improving the workflows associated with content creation and duration and publishing and moving towards a digital model where I would say much of our work is centered frankly around print-oriented processes. So we’re investing in process redesign and tools that are going to enable us to move toward digital first environment and that should provide some significant opportunities for efficiency gains for us overtime. And then of course, we continue to manage the overall production environment. We’ve outsourced all of our production activities some time ago. We’ve outsourced things like managing the supply of paper and we continue to find strong partners to work with us around distribution that will continue to lower our per unit cost in an entirely variable model. So I would say there is still substantial opportunity for us to continue to flex with the evolution of print.
Operator: We will take our next question from Drew Crum with Stifel.
Drew Crum: John, I want to -- just kind of housekeeping item with respect to Atypon. Remind us what your expectations are for accretion or dilution in fiscal ’18, and how you’re tracking that and remind us again what you’re assuming for fiscal ‘19 with that acquisition?
John Kritzmacher: Generally, I would say, I’m actually not sure if we talk much about dilution per say about Atypon. But what I would say is the business itself, from a profit perspective, is roughly neutral to us at this current point as we are making our way toward implementation of our online library on the Literatum platform. As we commented in the prepared notes, our migration of Wiley online library on to Literatum platform is expected to launch early in the next calendar year. And once launched we’re going to drive annual operational savings of about $10 million a year in that business. And then we also expect to continue to growth its own bottom-line. But there’s significant step up in terms of contribution to Wiley comes as we make our way onto that platform and we wind down our own.
Drew Crum: And then shifting gears and I guess following up on the Online Program Management business, you guys have been at 39 university partners or somewhere around that threshold for the last several quarters. Can you talk about your pipeline and your aspirations of adding to that number, or may be reducing that number in order to improve profitability?
John Kritzmacher: I would say, Drew, the pipeline of potential partners there continues to be very good at relatively flat, total of all that you’re seeing is again a bit of a rotation from some partners. Frankly, haven’t had the brand strength to be really effective in the online environment, and to grow the scale. But we are along the way taking on new partners. On balance, we’re probably in a direction of taking on something like four significant new partners a year but with the effect also of some coming off, we’ve been relatively flat there. I would tend instead to watch not on the total number of partners per se, but where we are on number of programs, which is increasing year-over-year and more importantly, the number of students that are participating in those programs overall.
Drew Crum: And I think in the press release you made reference to lower technology expenses, including the ERP implementation costs. Can you quantify what that was in the quarter? And just any expectations for fiscal '18 in terms of where that number will be relative to the fiscal '17?
John Kritzmacher: So, for the half the first half of the year, lower spending associated with the technology was in the high single millions, that's pretty substantial on a year-over-year basis based on timing. As we make our way across the back half of the year, that's going to even out because spending on the back half is actually going to be a little higher and in total spending on technology for the year will be about flat.
Drew Crum: One last question for Brian. Brian, this company has been pursuing efforts to transition from print to digital for years but at the same time, trying to manage some of the legacy print brands and programs. Can you talk about the importance of maintaining a presence in print publishing for Wiley, or perhaps that's not part of your vision for this company. So I'd just be interested in your views there.
Brian Napack: Yes, look, I am on the job all three days, and it's premature for me to be opining on the future of our strategies or the tactics that we're going to pursue to achieve our objectives. What I would say is that content, from my perspective, is important for the mission of this company; its core to what we do, and it's also very, very important to the marketplace; that content has to be enhanced by tools and services that make it incredibly valuable to our users such that the price value proposition for those products is apparent; and our partners -- our customers look at us as valuable partners, not just folks selling them stuff. So I can't speak about specific strategies, but I can tell you the future of this company will be building on things that we've done very, very well historically. And I expect those things to be valuable in the future.
Operator: [Operator Instructions] We'll go now to our next question from Nick Dempsey with Barclays.
Nick Dempsey: First question, Pearson has talked about 2017 in the college textbooks as being better than previously expected, because of the easier comps from the heavy bookstore destocking back in 2016; then talking about in 2018, being comfortable with the market going bang to declining, six to seven is their number, because you don't give that easy comp effect anymore. Does that shapes down sensible to you and how to think about things? Or do your subscribers believe that the market is just reaching a better growth trajectory?
Matthew Kissner: I would say right now, it's hard to tell what's going on in the market. We are seeing low returns. So returns are down. We’ve seen better results in our backlist and our franchise titles and we're really strong in business and finance and professional development. And this seems to be an industry trend. But I would not point to a particular future in such a volatile environment right now.
John Kritzmacher: I would just add to Matt's comments. To be clear though, similar to what you’re hearing from Pearson, we do expect to see the continued decline overall in textbooks. We’re not seeing -- anticipating that flattening or growing, it’s been a continued decline.
Nick Dempsey: And I think just a quick follow up. Relics’ CFO referred to the journal renewal environment to the end of '17 as being same as in late '16, which for them is generally meant short-term fall we expect next year's growth to be broadly similar to the one we just had. Have you seen anything difference in the renewal environments that you’re in currently compared to what you saw last year?
John Kritzmacher: No, I would say that we see steadiness in the market.
Operator: It appears there are no further questions. So at this time, I will return the conference to Matthew Kissner, Chairman, for any final remarks.
Matthew Kissner: Thank you for joining us on the call today. Brian and John look forward to speaking with you again on Wiley's third quarter call in March. Have a great holiday.
Operator: This does conclude today's conference. Thank you for your participation. You may now disconnect.